Operator: Greetings. Welcome to XWELL, Inc.'s Fiscal Year 2022 Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded on April 17, 2023. I would now like to turn the conference over to Omar Haynes, Interim Chief Financial Officer for XWELL. Please go ahead, sir.
Omar Haynes: Good day, everyone. Welcome to our conference call to review XWELL's fiscal year 2022 operating results. Joining me on today's call is Scott Milford, XWELL's Chief Executive Officer. We have posted our fiscal year earnings release on the Investor Relations section of our website located at www.xwell.com. A link to the webcast of today's conference can also be found on our site. Before turning the call over to Scott for his prepared remarks, we need to advise you of the following. Comments made on today's call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on current assumptions and opinions that involve a variety of known and unknown risks and uncertainties. Actual results may differ materially from those contained in or suggested by such forward-looking statements. Important factors that might cause such differences include those set forth from time to time in our SEC filings, including our report on Form 10-K for the year ended December 31, 2022, as well as other current and periodic reports that we file with the SEC. With that said, I'd now like to turn the call over to Scott.
Scott Milford: Thank you, Omar, and good day, everyone. We appreciate you joining us today. I'll begin today's call by providing an update on recent business activity and how we're performing. Then Omar will provide an overview of our fiscal year 2022 results. As outlined in our December shareholder letter, I'm pleased to note that during 2022, XWELL continued to make steady progress executing against the company's operating strategy and that our focus in 2023 is to further leverage that progress to deliver a leaner, more profitable spa business, expand our biosurveillance business and grow profit through off-airport acquisition. We're seeing strong operating momentum year-over-year in our retail operation. Most of our spas are performing better compared to a year ago. And as I'll discuss in a few minutes, we're already seeing signs of strong performance from the use of our new therapeutic chairs which will replace our existing lounges. Additionally, we're beginning to execute the physical upgrade of our core locations while also advancing the use of autonomous services, all with the goal of improving the overall experience we deliver our guests while also improving unit economics in our airport business. As I referenced in my letter to shareholders in December, we made a number of difficult decisions in 2022, which included closing spas that we had determined would not meet our future growth expectations. And we expect to continue that effort as we continue to look at our existing company-owned portfolio of spas in the U.S. As I stated in our shareholder letter, my goal is to evolve our brand as a leading provider of health and wellness services for people on the go. This effort will require us to continue focusing on growth outside the airport and rightsizing our spa portfolio to a leaner and more profitable division of our overall business. And while that doesn't mean we will abandon growth in the airport altogether, we will rationalize that growth and accelerate it to our out-of-airport acquisition work. To that end, we do expect to add 1 new spa location in the U.S. in the Philadelphia airport this year. Alternatively, as I noted in our shareholder letter, our international spas have consistently been an area of profitable performance. We now have 10 locations operating outside of the United States, 5 in Istanbul Airport, 3 in Amsterdam's Schiphol Airport and 2 in Dubai's Airport. And despite the devastating effects of the recent earthquake in Turkey, our new spa locations in Istanbul Airport are performing well out of the gate, posting net sales of over $70,000 in January and approximately $80,000 in February. As we move forward, we remain optimistic about the prospects to further leverage our international presence. We're still targeting high single-digit unit growth through 2025 and remain positioned to open our 11th international locations at Abu Dhabi Airport during the third quarter of 2023. Now the December letter to shareholders also highlighted XWELL's enhanced retail strategy and our commitment to strategically driving retail revenue. Just to quickly recap, during the second half of 2022, we've built an entirely new approach to retail in our airport locations and also online. New higher value-add products were added to our store mix beginning in August. We're very encouraged by the positive momentum we've achieved to date from these new offerings and expect to add additional products throughout 2023 including select health-focused grab-and-go food items. From a top line perspective, during the fourth quarter, retail revenue at our XpresSpa business increased 48% versus the same period prior year. Product margin for those sales was 67% driven by solid growth during the holiday season. Further illustrating the commitments we've made in our shareholder letter, our strategy to drive higher traffic and stronger sales, not only included new retail, but also a fresh approach to our service offerings to include therapeutic and tech-forward products to deliver a better consumer experience. For example, this February, we installed Novo XT massage chairs in 7 spa locations, including Atlanta, Las Vegas, Miami, Dallas Fort Worth and JFK Airport. These therapeutic chairs simulate 0 gravity and weightlessness to maximize the results of the fully autonomous massage. From an economic standpoint, these chairs typically pay for themselves within 1.5 months versus the 3 to 4 months it took our prior lounge chairs to break even. We currently estimate that revenue from these chairs, once deployed across the entire system would be more than $1 million with a service margin of 75% and we anticipate that 80% of those revenues will be incremental to our existing neck and back massage business. This also doesn't include the additional incremental revenue we expect to add-on services to our in-care experience by way of VR goggle technology, for example. Last month, we also deployed our first HydroMassage unit in our JFK location, and we expect to deploy an additional 3 of these machines this year with the option of additional machines in 2024. HydroMassage technology uses micro pulse water burst to provide an overall massage experience and also specifically target areas through pulse therapy, all directed by the consumer without the use of a technician. As we continue to measure improved revenue from autonomous massage, coupled with add-on services such as VR goggle and light therapy, we plan to make additional technology investments to further improve the experience and revenue growth. This does include the use of fully autonomous massage. Separately, as some of you may have read in our recent press release, we're now offering consumers autonomous manicures through our partnership with Clockwork, a pioneer in robotics for the beauty industry. We've launched a pilot program starting with our JFK Terminal 4 location. During an initial 3-month period, we plan to launch at least 5 of Clockwork's AI-powered robots across various spa locations and, ultimately, we expect to potentially deploy as many as 25 units across our portfolio of spas. We're excited to launch this program, which we believe represents revenue potential upon full rollout of approximately $2.5 million on an annualized basis at a service margin of 50%. Regarding our continued plans to upgrade the physical aesthetic of our spas, we're actively engaged with respective airport leadership to approve new design layouts, color pallets, equipment, retail and even a refreshed XpresSpa logo. As plans are approved by the airports, we'll begin the process of upgrading, but the takeaway here is that our spas will look different and even, more importantly, feel different as these changes are deployed. We have taken measured steps to ensure the upgrades we make are both aesthetically and economically driven. Travelers will be able to see the results of our new design efforts at our new Philadelphia Airport location which will open this summer. In summary, we continue our strategy of optimizing our spa portfolio with the goal of a leaner and more profitable business that is able to deliver a reinvented product and service mix to drive more traffic and a higher ticket while improving the experience for our guests. In addition to the work underway to reinventing our wellness business in our airports, we've also made investments to facilitate a longer-term and more expansive relationship with the CDC and Ginkgo Bioworks to build out a more permanent biosurveillance platform that extends well beyond the current 2-year contract term. To that end, XWELL now operates 7 biosurveillance testing centers in 7 of the nation's busiest airports: JFK, Newark Liberty, San Francisco, Atlanta International, Washington Dulles, Seattle and LAX. Along with our partners, we continue to grow the program's capabilities. For example, earlier this year, we expanded our support for the Traveler-based Genomic Surveillance program to include a pilot study monitoring influenza virus in addition to the work we were doing with SARS-CoV-2. Looking ahead, we remain confident about the future opportunity of this partnership. We enjoy a solid working relationship with our partner and with the CDC, and we regularly meet with administration officials to explore the growth of this, the world's first true biosurveillance program. In fact, we've gotten several investor questions during the last 2 quarters focused on pieces of news they read about the expansion of this program, especially outside the U.S. To be clear, where it makes sense for us to grow this program, both domestically and internationally, we will. And we have the strength of a good working relationship with our partner and more importantly, with the CDC to bring that growth to reality. In addition to our commitment to driving top line growth, we remain very disciplined in managing our business and cost structure and have executed on numerous initiatives to drive down our expenses. I've been clear that performance of Treat has not met our expectations. As a result, we closed the Treat location in Phoenix Sky Harbor earlier this year and are in the process of removing unprofitable medical services from the Treat menu of offerings in both our JFK and Salt Lake Airport locations, focusing more of our efforts on retail sales and higher-margin wellness service offerings where we're currently seeing the growth. To further strengthen our core spa brand, we're combining the XpresSpa and Treat offerings into a single operating model and brand XpresSpa. This single approach will drive a better consumer experience and allow us to optimize cost through unified operational process. We're currently developing a more modern and refined XpresSpa logo that we will install in our airport locations as we refresh them. What we learned from opening Treat is that consumers yearn for something new and innovative in the airport. They want a premium environment to shop in, and they want the ability to unplug from the hectic pace of the airport environment. And through our upgrading and upskilling efforts, we believe we have the right balance of experience, escape and expedience in our XpresSpa brand without having to rebuild all our locations to look like Treat. We've also been successful rationalizing our cost structure elsewhere. During the latter half of 2022, we carefully reviewed our portfolio with a focus on closing locations that no longer fit our profile for a successful business. Since then, we've closed 12 underperforming spas and shuttered 15 of our XpresCheck locations. We've also implemented meaningful spending cuts to headcount and G&A expense reductions, coupled with labor optimization in our stores. In the second half of 2022, we reduced G&A by approximately 11% compared to the same period in the prior year and by 25% compared to the first half of 2022. Third, as we continue to rightsize our spa portfolio, we expect to reduce costs further. This will occur both at the unit level and also on the spa support side as well as we'll need less infrastructure to support fewer, more profitable units. That said, we still have work to do. But clearly, our cost-cutting initiatives are taking shape. We're encouraged by our momentum, and we enter 2023 as a leaner business with a path to return to profitability. In summary, I'd like to underscore our continued momentum in our business. We remain encouraged by our evolving long-term strategy, and we remain optimistic about our positioning as we begin 2023. I'll now turn the call over to Omar for an update on our financial results. Omar?
Omar Haynes: Thank you, Scott. I'm now going to provide a brief synopsis of our fiscal year 2022 results. However, for details, please refer to the 10-K that has been filed with the SEC. For fiscal year 2022, total revenue was $55.9 million compared to $73.7 million in the prior year. This $17.8 million decline is primarily driven by softening in the demand at our XpresCheck testing facilities. 2022 revenue primarily consists of approximately $15 million in revenue from XpresSpa locations as well as the Treat locations, $2 million in revenue related to our acquisition of HyperPointe earlier this year -- rather earlier in 2022, $7 million in revenue from our biosurveillance partnership and $32 million from our XpresCheck locations. Turning to expenses. Our total cost of sales increased to $43.9 million from $41.4 million in the prior year. The principal factor leading to this increase was the reopening of several spas in the U.S., the opening of 4 spas in Turkey in 2022 and the acquisition of HyperPointe, all offset by the closure of several underperforming XpresCheck locations in Q4 2022. As we've discussed on prior conference calls, the cost of testing kits and location-level labor costs remain the largest factors in our cost of sales. Switching to general and administrative expenses. These expenses totaled $31.2 million compared to $24.2 million for the year prior comparable period. As reported in the second half of 2022 10-Q, G&A expenses for the first half of 2022 were approximately $9 million higher than that for the same period during 2021. Demonstrating our cost-cutting efforts and initiatives, G&A expenses for the second half of 2022 reflects an approximate $4 million in savings when compared to the first half of 2022 and an approximate $2 million in savings when compared to the same period in 2021. We reported an operating loss for the year of approximately $31 million compared to an operating profit of approximately $4 million in the prior year. Our net loss attributable to common shareholders was approximately $33 million compared to net income of approximately $3 million in the prior year. As Scott discussed, it is important to note that we continue to strategically invest in our long-term growth initiatives. With respect to our GAAP financials, our liquidity remains strong with cash and cash equivalents totaling $19 million, $23 million in marketable securities, working capital of approximately $36.4 million and no long-term debt. Turning to our stock buyback program. During 2022, we repurchased approximately 19.5 million shares outside of blackout periods or approximately $23.8 million. All of that activity in 2022 occurred in the first 3 quarters, and there are approximately 0.8 million shares remaining in the program out of the total 25 million shares authorized by the Board in 2021 and 2022. This concludes our financial review. I'll now turn the call back to Scott to address some investor questions.
Scott Milford: Thanks, Omar. To recap, 2022 was a transitional year for XWELL, and our financials reflect that. As we look ahead, we're moving towards improved growth, and we believe that XWELL enters 2023 in a better position to unlock the full potential of our company. For example, we're seeing meaningful traction from our retail growth initiatives, we delivered year-over-year same-store sales growth of 90% in January 2023 and 50% growth in February 2023, which is a result of the expansion in hours, increased staffing levels and of course, the incremental retail offerings. The benefits of our efforts are clearly beginning to take root, and these preliminary results demonstrate our stronger retail offering and the continuing strength of the new services we're offering. Moving forward, we see lots of opportunity to improve our overall retail performance and will continue to boost our labor consistent with the additional services we're adding. Additionally, as highlighted in December, we're working toward a clear line of sight for sustainable profitability and remain focused on investing our available capital on revenue and profit-accretive efforts. And while we recognize that our efforts in 2023 will require capital investment, we're thoughtful in our approach to how each dollar is being utilized and will not hesitate to take the necessary steps or make the tough decisions for the continued growth of our business. In short, we're making disciplined adjustments in how we operate to deliver more value to our shareholders. Before wrapping up, we've had a number of questions recently from investors regarding our M&A plans, our B2B strategy and also our stock price. Let me see if I can share where we're at with each of those.
A - Scott Milford: When we rebranded to XWELL in 2022, one of our goals was to use our new brand identity to expand outside the airport. We recognized that while we could continue to generate profit from our spa business, we also acknowledge that it alone would not unlock the growth potential required to position us as a $100 million business by 2026. To that end, we began looking at revenue and EBITDA-accretive acquisitions that would not only complement our existing business and brand, but also serve as a pivotal growth platform outside the airport. Today, we have looked at a number of possible businesses that could serve our growth goals, but we were unable to advance our discussions past an initial letter of intent. Ideally, our strategic acquisition path will involve one or more businesses within the health and wellness space that enable XWELL to serve its mission of being an authority in health and wellness for people on the go. And whether that involves buying providers of health services, regenerative services or aesthetic services, we continue to apply effort to this growth strategy. I'm encouraged by our recent activity, and while I'm looking forward to updating you on our acquisition efforts in the near term, at a general level, I have to remind you that our policy is not to comment on any specific opportunities we may have identified as they may be in various preliminary discussions or diligence stages. We've also had a number of investors ask us about our B2B efforts and where we are with generating meaningful and sustainable revenue growth in this area to help offset lost revenue from XpresCheck. While we've made some inroads in developing B2B client relationships, including a partnership with the NFL Players Association and inroads into a longer-term partnership for amenity services with a national coworker space provider, our efforts generated approximately $348,000 in revenue in 2022, less than we had expected. Further, relationships with airlines and airports alike have taken more time than we anticipated and despite the effort have not generated any meaningful revenue. We will, however, continue to leverage relationships where we can. Regarding our recent expansion of the CDC program, we recognize our communications surrounding this contract have been a point of frustration for some investors. Keep in mind, when companies work with the federal government and the CDC especially, there are various reasons why it's difficult to report specifics of any given contract. That being said, from a financial perspective, during the fourth quarter 2022, we recognized $1.7 million of revenue under our biosurveillance partnership and we expect to generate more than $1.7 million in the first quarter of 2023. Last but not least, investors have been asking for updates on stock repurchases and a possible NASDAQ delisting. In terms of stock repurchases, as Omar mentioned, we repurchased approximately 19.5 million shares of XWELL stock on the open market during 2022. Looking ahead, any potential future share repurchases remain contingent on Board approval and future price movements, balanced with our capital allocation priorities, resource planning and our focus on growth investments. We're continuing to monitor our stock and are cognizant of the value of the listing of our shares on NASDAQ. We're considering implementing available options, if appropriate, to regain compliance with the requirements under NASDAQ rules. More details to come in due course. While we take steps to maintain continued listing, I agree with investor sentiment that we have an extremely low stock price. Every CEO thinks they're undervalued, so it's not investment advice. We also recognize it may take time for our stock to properly reflect the value we're generating from our various initiatives. We're focused on performing well operationally and executing against our strategy to drive sustainable and profitable growth. This includes creating a leaner and more profitable spa business domestically and internationally, growing our existing health division through expansion of the CDC contract and additional biosurveillance efforts, investing in health and wellness business growth outside the airport and leveraging our existing brand properties to serve that growth, efficiently leveraging our capital and optimizing our cost structure to ensure we can fund our future. Towards that end, I want to thank each and every one of you for joining us today, and I look forward to providing an update next quarter. I'll now turn the call back over to our operator.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.